Operator: Good afternoon. My name is Tanya, and I will be your conference operator today. At this time I would like to welcome everyone to the LivePerson's Second Quarter 2017 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] On the line today is LivePerson CEO, Rob LoCascio; Mr. Dan Murphy, CFO. You may begin your conference.
Dan Murphy: Thanks very much. Before we begin, please note that we will make forward-looking statements during today's call which are predictions, projections, or other statements about future results. These statements are based on our current expectations and assumptions as of today, and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release, in the comments made during this conference call, and in 10-Ks, 10-Qs, and other reports we file from time to time with the SEC. We assume no obligation to update any forward-looking statements. Also, during this call, we will discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release which is available in the Investor Relations section of our Web site. I will now turn the meeting over to Robert LoCascio, CEO and Founder of LivePerson.
Rob LoCascio: Thank you for joining LivePerson's second quarter conference call. We've been extremely active these past few months executing on our goals to transform customer care and return to year-over-year growth. In the second quarter, we built on our strong messaging momentum in the telco space, and began to really open up financial services with [Next-G] [ph] expansions at two Fortune 100 institutions. We also brought the LiveEngage platform migration closer to the finish line, ending the second quarter with only 12% of revenue remaining on Legacy, we're executing on our plan, and on target to end the platform transition in the third quarter with less than 5% of revenue on our old platform. This has been a sandbox to maximize profitability. With continued solid execution we were able to exceed our second quarter revenue guidance, and are raising revenue guidance for full-year 2017. Dan will walk you through the details shortly. LivePerson also continues to push the boundaries on how LiveEngage can transform the way the brands connect with consumers. We are now seeing roadmaps where care sales and marketing and large brands converge on LiveEngage. Through messaging and AI our conversational platform is getting vetted into the operational layer of leading enterprises. Not just on contact centers, but also across the field and back office. Entire business processes such as payments, plan changes, and [lead gen] [ph] will be automated and rest on the LiveEngage foundation. One of the key ways we are delivering on the vision is by providing all the front-end digital touchpoints a leading enterprise brand needs to engage with their consumers. LiveEngage serves as the hub for all messaging conversations where they originate on a branded app, SMS, within Google Search, within Facebook Messenger, the desktop or even mobile web. And soon Apple Business Chat will be part of the LiveEngage ecosystem. On June 10th, Apple joined the brand's consumer messaging movement by introducing Business Chat, a digital communication framework that will enable consumers to message with brands instead of calling. Apple Business Chat is also making messaging extremely discoverable by embedding connections via Safari, Spotlight search, Siri, and Maps. With more than 700 million users and over one billion devices we believe Apple will have a strong impact on the customer care industry, accelerating the speed at which brands around the world shift to messaging as a primary way to connect with consumers. LiveEngage is pre-integrated with Apple Business Chat so that leading brands can rapidly scale to handle millions of these interactions alongside the messages they are getting from all of their other channels. We look forward to sharing updates on customer success stories once Apple Business Chat formally launches. LivePerson is also pushing the customer care industry forward with IBM. In June, we signed a major global partnership with IBM Watson and Global Business Systems' divisions. This partnership features a joint go-to-market strategy and deep integration between IBM's [technical difficulty] and our best-in-class enterprise messaging platform. The unique combination enables leading brands across the globe to seamlessly power Watson-fueled bots and human-assisted messaging from a single platform at scale. IBM Global Business Systems also teamed up with LivePerson to create a cognitive care center of excellence that will deliver the implementation and consulting services talent to unlocking the full potential of the LiveEngage and Watson solution. LivePerson and IBM already have strong reference customers in Vodafone and RBS. We're jointly pursuing additional pipeline opportunities. You can hear more about this exciting partnership by listening to the remarks from IBM's CFO, Martin Schroeter on the IBM's July 18th earnings call. In the coming years a majority of brands will layer AI on top of messaging to capture huge efficiencies and significantly improve customer satisfaction. At our AI summit at Carnegie Mellon University a few months ago we saw firsthand the eye-opening moment for many business leaders when LivePerson's customers such as American Express, KDDI, which is one of the largest telecos in Japan, Kia Motors, RBS, and Vodafone describe the benefits they are seeing from leveraging AI and messaging on the LiveEngage platform. For example, one of our telco customers in Asia achieved a nearly 90% containment 00:03:40] rate of conversations by tuning a bot for specific use case. A financial services firm in EMEA achieved up to 50% containment rate averaged across a wide variety of use cases. Clearly AI can deliver powerful results in care, sales and marketing, but the key to success is optimizing AI performance through integration through integration with an enterprise-grade conversational platform that aligns with the consumer's journey. This approach also greatly reduces the risk of AI providing same floor results as many of today's and the past what we call virtual agents, and potentially causing really a bad customer experience and a decrease in brand loyalty. This is why leading brands are working with LivePerson. We built LiveEngage from the ground up as an open conversational platform to manage AI powered messaging securely and at scale. LiveEngage borders the tools that enterprise brands require to successfully scale bot deployment, combat readiness to KPIs, analytics, sentimental measurements, reporting, and training. Furthermore, with our Tango capabilities brands can match human and bot agents in tandem and seamlessly handing off conversations between a live agent and the machine. Bots provide instantaneous intelligent responses to consumer queries and human agents supervise those exchanges. We also have the expertise that comes with 20 year history of deploying millions of agents under the no stringent requirements for the world's largest enterprises. We perfected the framework for deploying human agents and we're applying that same logic and frameworks to the deployment of box. One of the primary ways LivePerson showcases its unique ability of power constitution care, sales and marketing through our preeminent executive level customer service, whether it was T-Mobile [indiscernible] Pittsburgh, or one the many regional satellite events held across the globe, we demonstrate how LivePerson customers are effectively deploying messaging and AI to capture digital efficiencies and align with consumer preference. Demand for these customer events has repeatedly exceeded our expectation as has been responsible for the vast majority of our wins in 2017. One of the wins that came from these events is the leading European broadband provider that signed with us in the first quarter. This brand has quickly become a success story for LivePerson underlying with our strategy to this space the 800 number. In fact, within a few short months the broadband provider has leveraged LiveEngage to take out 30% of the voice calls made to its contact center. This is something that has really never seen before like we actually have improved that is an alternative to voice and we're going to take the 30% to next higher levels and this customer joins a number of other successful brands in telecommunications industry including Foxtel, KDBI, Syntel, TalkTalk Telstra, T-Mobile and Vodafone. They're all little exchanging the pace to customer care with LiveEngage. Case and point through the seven figure expansion we signed in second quarter with the leading North American telco, the upsells further validation of the larger addressable market LivePerson pursuing to LiveEngage, this win marks the second seven figure expansion with this customer since began working with them a little over two years ago. This upsell also shows how eager consumers are to adopt messaging once offered as an alternative to voice and how readily brands recognized and are willing to pay for the value that LiveEngage delivers to the conversational business strategies. Importantly, our attraction with messaging and AI is spreading well beyond telecommunication. In the second quarter, several of the world's leading financial companies also signed on transform how we connect with their consumers. One of these reports from 100 financial institutions that has increasingly been focused on building the digital connection with the customers. After attending several of our customer events and the lining around LiveEngage vision is leading financial brand just on the three year, six year annual expansion on LiveEngage, customers already deploying web-based messaging and follow a roadmap for the roll out of mobile messaging and AI in future quarters. Within a short amount of time, these customers should become one of our top five brands on messaging. Another exciting contract signing in the second quarter is the high six figure upsell at top 20 global commercial banks, this leading brand will launch towards web based and app messaging later this year and is in planning stage for box on top of messaging thereafter. Other mid to high six figure messaging contracts signed in North America in the quarter included one of Europe's leading online food delivery providers, a large North American Credit Union, one of the world's top global sharing apps and a large regional airline in the United States. The power of LiveEngage continues to reflect not only in the new wins we are generating but in the stats we're seeing across the customer base. Mobile usage is expanding rapidly on LiveEngage an average of 35% interactions in the second quarter as compared to about 10% historically on legacy. Same customer interaction on LiveEngage continues to grow faster than 10% year-over-year. The dollar retention rate remains greater than 100% over trailing 12 months, a solid indicator of the future potential growth for LivePerson once our entire customer base is on LiveEngage. This positive traction with LiveEngage, solid execution by the field and lower attrition as we wind down legacy enabled LivePerson to exceed second quarter revenue guidance and raise guidance for the full year. The upside we're seeing in revenue also favorably positions LivePerson to incrementally invest in longer term opportunities such as our customer summits, our partnership with IBM and our upcoming work with Apple Business Chat, we remain on track to exceed the low end of previously issued guidance ranges for GAAP net income and adjusted EBITDA, we expect to maintain top improved margins in 2017 and to position LivePerson for margin improvement as we return to growth in 2018 and beyond. LivePerson is in a unique position with intuiting platform references from many of the world's most highly regarded brand and expertise in the point enterprise scale AI powered messaging. We're also building ecosystem that includes some of the biggest powerhouses in technology industry today. Facebook, Google, IBM and now Apple have all chosen LivePerson to help transform customer care are bringing messaging to leading enterprises and taking down the 800 number. With this backdrop, we have line of sight to support our view for a return to growth in 2018 and well positioned to capture portion of an enormous Greenfield market opportunity. I will now turn the call over to Dan who will discuss our second quarter results and outlook in more detail. Dan?
Dan Murphy: Thanks, Rob. LivePerson continued a strong start in 2017 and the second quarter by once again executing on each of its four key priorities. First, we are successfully transitioned back to a focus on selling for migration. Revenue increased 6% in the second quarter over the first and we are targeting continued sequential growth of 2017 which we expect authorization LivePerson for return year-over-year growth in 2018. Second we added to our lead in mobile messaging by bringing Apple and IBM into our LiveEngage ecosystem and signing multiple new wins including key expansions with two Fortune 100 financial institutions. Third we are successful winding down our legacy often as we guided, we ended the second quarter 12% of revenue on legacy that pushes on target to meet our goal of completing the transition to LiveEngage in the third quarter with less than 5% of revenue sandboxed on legacy. Finally, we continue to realign our cost structure around LiveEngage. We expect to maintain if not improve our profit margins in 2017 and a business in LivePerson from margin improvements as we have return to growth in the years ahead. We feel good about the progress we made gave and we are raising our revenue guidance and lower end of our gap and adjusted EBITDA guidance ranges for 2017, our detailed updated guidance later in our discussion. I will now review our second quarter operating results. Total revenue of $54.1 million was above our guidance range and consistent of B2B revenue of $49.6 million and consumer revenue of $4.5 million. We delivered $2.1 million of upside revenue versus the high end of our previously issued range of $51 million to $52 million approximately $1 million of the upside stand from better than forecasted performance from the current revenue. And the other million was tied to positive upside from non-recurring items. Trailing 12 months average revenue per enterprise and mid market customer was approximately 205,000 in the second quarter in line with the trailing 12 months average in the second quarter of 2016. We signed 91 deals in the second quarter of 2017 as compared to a 117 in the second quarter of 2016. The lower deals count reflects our LiveEngage goal strategy which is to focus on a targeted list of leading global brands we have the opportunity to drive transformation. Our strategy is working as LivePerson's average selling price increase versus the second quarter of last year across both existing and new customers. For the trailing 12 months ended June 30, 2017 with dollar retention rates customers on LiveEngage exceeded 100% this may takes into account of full impact of up cells, down cells, renewals and cancellations in our existing customer base. The B2B revenue breakdown by industry as retail at 25% financial services, 20% Telco at 16%, auto at 14%, technology at 7% and other at 18%. International Operations accounted of approximately 37% of total revenue in the second quarter of this year. Second quarter GAAP net loss per share of $0.13 was below guidance of $0.12 to $0.10 loss per share. In Q2, we took a one time charge related to our shutdown of our legacy data centers. We recently guided to shut down for July we were able to accelerate the timing based on our execution and our migrations. As during this $0.03 per timing impact, GAAP net loss was within a previously issued guidance range. Adjusted net income per share of $0.01 and adjusted EBITDA per share is $0.07 each within our respective guidance ranges. These non-GAAP measures exclude total charges of $2.1 million tied to winding down legacy operations and aligning our organization around LiveEngage. As well as $1.5 million of non-recurring litigation costs. Gross margin increased 290 basis points to 72% in the second quarter from 69.1% a year ago. Excluding a non-recurring charge in the second quarter of 2016 the gross margin increases 280 basis points. This improvement primarily reflects the diminishing cost of our legacy operations and lower production costs for LiveEngage and the platform matures at the enterprise level. Excluding non-recurring restructuring charges total LivePerson second quarter operating expenses decreased $2.9 million year-over-year. At the end of the second quarter cash on hand including restricted cash was $58.1 million or $1.04 per share approximately $6 million higher than the first quarter. Deferred revenue increased nearly 25% in the second quarter to $36.6 million from $29.5 million a year ago. LivePerson generated cash from operations of $8.5 million in the second quarter and spent $4.3 million our capital expenditures. The company also spent approximately 800,000 to purchase 105,000 shares of its common stock in the second quarter. An additional $18.4 million and is available under the share repurchase authorization. Turning our attention to guidance we do at solid financial results in the first half of 2017 and expect to build on that basis we complete the platform transition to LiveEngage and we gain selling momentum. As a result, you're raising our 2017 revenue guidance to range of $213 million to $216 million completely from previously issued guidance of $204 million to $209 million and initial 2017 guidance of $201 million to $209 million. We plan to exit 2017 at a run rate of position LivePerson to new Year-over-year growth in 2018. We are also raising the low end of previously issued 2017 GAAP net income and adjusted EBITDA guidance ranges due to the company's successful wind down of the legacy infrastructure and realignment on LiveEngage. With the revenue upside, LivePerson is now on the favorable position where the company can deliver on its goal of maintaining if not improving margins in 2017 while simultaneously selectively reinvesting in longer term growth opportunities. Rob discussed earlier higher than anticipated demand we have seen for our customer summits and how these are starting to build our sales pipeline fewer more wins, given these positive outcomes, we are investing in the customer signup and expanding the cadence and scope of these events. We are also putting more investment behind our Apple Business Chat offering as well as IBM and other potential long term partners. We think LivePerson has established a lead in the market we have to extend that position. We are continuing to drive for margin improvements in the years ahead as we worked on revenue growth. Finally with the wind down of LivePerson's legacy data centers accelerated into the second quarter, we're updating guidance for the third quarter restructuring and severance charges to $200,000 to $400,000 from previous guidance of $2 million to $2.22 million. We continue to expect $6 million to $6.5 million of non-recurring legal expenses tied to IT litigation for the full year of 2017. I will now review our detailed financial expectations. For the third quarter of 2017, we expect revenue of $54 million to $55 million, GAAP net loss per share of $0.03 to $0.00 breakeven, adjusted net income per share of $0.04 to $0.06 and adjusted EBITDA of $7.1 million to $8.4 million or $0.12 to $0.15 per share. For the full year of 2017, our expectations are as follows. Revenue of $213 million to $216 million, revenue guidance improved negative foreign currency impact of $1 million, GAAP net loss per share of $0.34 to $0.28 which includes $0.16 per share of non-recurring and restructuring items. Adjusted net income per share of $0.07 to $0.11, adjusted EBITDA of $18 million to $21.3 million or $0.32 to $0.37 per share. Furthermore, as a percent of revenue for the year excluding non-recurring restructuring and litigation charges, we anticipate gross profit to be approximately 73%, sales and marketing at 41.5%, G&A at 15.5%, and R&D at 18%. I also want to highlight that we have no major customer events planned for the third quarter due to the summer months, while several events are currently schedule for the fourth quarter. As a result we expect LivePerson's adjusted EBITDA margin to reach into the low to mid teens in the third quarter, and then return to the mid single to low double-digit in the fourth quarter. Please refer to LivePerson's earning release issued earlier today for additional details on our full-year 2017 assumptions. We have also published a supplemental presentation that review key points from the earnings call on the Investor Relations section of the company's Web site. As we move towards finalizing our transition, stability and predictability are returning to our business. LiveEngage is now at the heart of our revenue streams, and messaging and AI are the focal points of every new opportunity in our pipeline. Our goal continues to be to return to year-over-year growth in 2018, and then steadily drive LivePerson back towards its historical growth rate. The key factors that will influence our ability to achieve this goal are fueling adoption of messaging and AI in existing customers, increasing dollar returns soon as we complete the migration, and capitalizing on the pipeline and that is building from our customer events and partnerships. Across LivePerson our teams are aligned on these levers, and they look forward to reporting on our progress in future quarters. With that, I will open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Richard Baldry from ROTH Capital. Your line is open.
Richard Baldry: Thanks. Back into the math on the contribution of, let's say, the drag from the legacy business coming out, it was 19% in Q1, it was about $9.7 million, Q2 at 12% you'd be about $6.5 million, so a drag of $3.2 million. Now you did grow sequentially $3.2 million so that argues you're underlying can grow somewhere over $6 million sequentially in a single quarter. Can you talk about was there unusual events inside of that $6 million sequential on the LiveEngage platform? How seasonal that could be versus sustainable and extensible -- it's obviously a pretty large number sequentially versus the base, and would argue for pretty accelerated growth if it was sustainable or extensible near-term. Thanks.
Dan Murphy: So, Richard, I can't comment to all the specific numbers that you were going back and forth on, but generally what happened in the second quarter there was a couple of components from the migration of Legacy through the LiveEngage platform we were better in our attrition assumptions, so we had a better result from the attrition. The second piece, that I stated in my script, we had about a million dollars in upside from our current revenue in the second quarter, and we had about a million dollars of upside one-time non-recurring revenue coming from our customer base. So that's what driving the upside versus our guide. I hope that gives some color and insight into the question that you're asking. But like I said, I can't [technical difficulty] the numbers that you're talking about.
Richard Baldry: Okay, thanks. And then can you talk about in the messaging side sort of the competitive field. I think you're running head-to-head with different people this time around. How competitive is it? How often are you in Greenfield opportunities? Are some of them rip and replace, like maybe in the ride sharing space versus others where it's something brand new? Thanks.
Dan Murphy: It's predominantly Greenfield today. And we're doing the customer care side of messaging, so it's a little bit more than -- then it'll be a little different than consumer to, let's say, someone who's in a ride-sharing like in the care, it'd more to a customer care organization. But we're pretty much Greenfielding right now. There's small competitors out there, people say they have in their product, but the strength of the company as we've been out there now for a little over a year with referenceable customers, and we've got some very big brands that are being very successful right now. As I mentioned, one of these is one of the broadband providers in Europe. And we were able to achieve, within 90 days, taking 30% of their calls out of the voice system, and moving those calls to messaging, and we're about double the efficiency of voice. So if you went back a year, and the strategy is get rid of voice, get rid of analog voice, we're now seeing customers that have flipped the needle. And I think this customer we could get much more than 30%. We're on track to really actually move voice out. So there are so many exciting things happening right now in the space. And then you've got all the companies like Facebook, and the stuff we talked about Apple. There's a lot of font-ends out there that we're going to be able to do a lot of cools things with and we do today. So we've got a good lead right now, and we're just very focused on taking down as many deals as we can.
Richard Baldry: Thanks, and congrats on the great sequential growth.
Dan Murphy: Thanks.
Operator: Your next question comes from the line of Koji Ikeda from Oppenheimer. Your line is open.
Koji Ikeda: Great, thanks. Thanks for taking my question. Congrats on the quarter, guys. Just one question from me, either for Rob or Dan, great news on being selected as a key platform for the Apple Business Chat, and with the Facebook Messenger integration too, that's a lot of consumer engagement for LivePerson happening there. Big-picture question is when you're selling these solutions into the customer base what part of the organization are you selling into, is it really the contact center operators, is it the sales and marketing teams, or is it really somewhat bigger than just that?
Dan Murphy: It really depends. When we look at digital heads in a company there's usually digital leads that could be in marketing. In some cases the digital interface resides in care. And in some cases it's in the sales group. But these are big strategic things. If you saw what Apple spoke about at WWD, and there's a presentation that I recommend people to look at, it's about a 40-minute presentation. They're going to bring messaging encrypted on the device level, and they're putting it in theory and all these things. So, right, the implications are pretty major for our company as a whole to run business processes on-device. And I think if you really looked at that presentation, you're right, it is a much bigger opportunity than just a care flow. We're talking about sales, customer care, marketing, all flows can go through that pipe into the device, so you are correct. So it all depends. Somebody sort of owns the digital strategy our -- one of the things you do is try to bring it all together. It's sort of a process we run, is to try to bring all the pieces together instead of just maybe there's one person who ones it, we bring care in, we'll bring marketing, we'll bring the sales. And we put out together a strategy that they can really execute on.
Koji Ikeda: Great quarter, guys. Thank you for taking my question.
Dan Murphy: Thank you.
Rob LoCascio: Thanks, Koji.
Operator: Your next question comes from the line of Jeff Van Rhee from Craig-Hallum. Your line is open.
Dan Murphy: Jeff?
Jeff Van Rhee: Sorry guys, can you hear me now?
Dan Murphy: Yes, we can.
Jeff Van Rhee: There we go. So just a couple for me, let's see. With respect to booking, I know you don't provide the numbers, but can you give us at least a comment with respect to your performance relative to your expectations for the quarter, and any quantification with respect to the pipe. I know you've pivoted to selling. It sounds like you've got some pretty tremendous momentum as I go by your guide. But just if you can give any quantification at all about the scope, size, coverage, anything about the pipe? And then as I said also, whether your booking met, exceeded your internal targets for the quarter?
Dan Murphy: So on the bookings side of things we're happy with the first half of the year. As you know, in a recurring revenue business that you get out of the year strong that helps you from a revenue perspective, and that's part of the reason that we were able to increase our guidance for the year, so happy with half-long booking. And as you talked about the pipeline, one of the things that we try to be clear in our remarks is we've got opportunities between IBM, Apple, and then our customer events where we're actually investing similar to upside back into generating more of that pipeline. Each one of our customer summits has been oversubscribed that we've done so far this year. As a matter of fact, we had an unplanned one that we held in the second quarter in Brooklyn because our event in Pittsburg was oversubscribed. So we're pretty excited about these, and these are driving the pipeline and the quality of the pipeline along with our partners as well.
Jeff Van Rhee: Okay. And then Rob, with respect to the EMEA broadband provider where you said you did a 30% call deflection, can you just expand on that a little bit. What kind of traffic is it that was so effectively redirected? What were the common queries, the common customer questions coming in there? And also along those lines, any semblance of revenue potential in an account like that, you said you barely scratched the surface. If you can achieve that kind of deflection talk about your entry point there from a deal size, and then where you think the deal size can ultimately go for an account like that?
Rob LoCascio: Yes, I mean when you think of those numbers and where we're headed I think the deal size could be much, much more significant. Strangely enough it's such a major impact, and yet we're at day one. We are doing some outbound. So once you get somebody on a messaging connection we can be proactive to them like a month later. So it starts with an inbound query about something in support and care, and then they can go back out proactively in more of a sales environment. So we're just sort of scratching the surface on what can be done here. We're in both there iOS, and Android apps, doing SMS, Facebook as well. We're taking the traffic in; it's all a unified experience. But I just want to point out this is the first time in history there is an alternative for voice. Like, up till now, there's been real -- even chat. Initially chat would get through about 10% of volume, but it never had that impact. And we can actually see voice one day going away. And so that was our goal a year ago, and it's exciting for us as a company to actually see it happening. And so everyone one of our enterprises, and every enterprise in the world, like I said, if I go a couple of years from now, let's say five years from now, I don't believe voice will be a primary channel, people will message their brands, and so this is just one example that shows it can work. And the customers love it, and the brand loves it. So we're very excited about it.
Jeff Van Rhee: Yes. Just two briefings for me, the sandbox customers, just refresh me on how you see that eventually playing out. Obviously you don't intend to run that indefinitely. Just refresh on what you think that sandboxed world looks like six, 12, 18 months out? And then last, the incremental leverage, looks like you're putting a lot of very strong revenue performance back into the marketing side, even with crude bounds how you think about '18, sort of split the overages 50-50 between flowing it through to operating profit versus reinvest back in the business? Just whatever you can share about how you think about pacing the reinvestments versus letting it flow through. Thanks.
Dan Murphy: Okay, thanks, Jeff. So just on the sandboxing piece, so at the end of the first quarter we said we would be at 12% by the end of the second quarter, so check off the 12%. And then in the third quarter we'll be at 5%. And we see a very good path there. So with that last 5% of revenue -- that's for a number of different reasons that those customers will be sandboxed, but our expectation is to continue to, over time, to move them to the LiveEngage platform. We know not 100% of them will make it, but our goal is to continue to push. And as the product continues to evolve one of the things that helped us in the second quarter is our attrition was a little bit less from the migrations than we expected. So that was also a positive impact. So on the last 5% we're going to try to move them over to LiveEngage as quickly as we possibly can. As far as going towards '18, we haven't given guidance for '18. We've been pretty transparent on our expectations as far as we want to get back to year-over-year growth. And as we came into 2017, we wanted to continue our sequential growth from Q1, to Q2, to Q3, and into Q4. And our goal is to continue that trend as we go into 2018. I can't give you specific guidance on what we expect to do at this point, but we have stated that we want to improve margins. We see an opportunity in front of us in the back half of '17 with some of the revenue upsides and invest in our customer summits, which have been successful in building quality pipeline. And then obviously with our relationship with IBM we see an opportunity there to invest in that partnership, and other longer term partnerships to help build our pipeline and our growth prospects from a revenue perspective. Hopefully that gives you a little bit of color, but I can't commit to specific amounts at this point in time.
Jeff Van Rhee: Okay, appreciate it.
Operator: Your next question comes from the line of Mark Schappel from Benchmark. Your line is open.
Mark Schappel: Hi, thanks for taking my question, and starting off with a good job on the quarter. Robert, with respect to the IBM and the Apple partnerships, are there any other messaging vendors that are partnering with either of those companies?
Rob LoCascio: There are some voice vendors on the Apple side, and so you have Genesis, Salesforce, and one other -- Nuance. And then IBM, IBM's got many strategic relationships with many partners. I think the interesting thing with IBM is that we're very focused on the care space, and that's a very exclusive partnership with them to focus on that one area and bring out cognitive care offering to the market.
Mark Schappel: Okay, thanks. And then with respect to the upcoming customer events that are planned specifically for Q4, will IBM or Apple be participating in any of those?
Rob LoCascio: Traditionally they've participated. IBM was at our event in a cognitive that we had at Carnegie Mellon University. So we'll see. We're putting events together now. There'll be other partners there too, but we haven't announced anything yet.
Mark Schappel: Great, thanks. And then finally, with respect to AI, a lot of discussion in your prepared remarks, just wondering if you're seeing customers actually open up their wallets yet and then start rolling out bots and deploying bots, or are they still just kind of kicking the tires at the moment?
Rob LoCascio: No, we have real scale bot deployments. So at our conference that we did this -- the AI conference at Carnegie Mellon we had Vodafone showing what they're doing, RBS showed what they do, KBDI, a large telco in Japan, showed what they did. So, yes, so the stuff we're doing is not tire-kicking, we're actually doing it at scale. The interesting things is when we put AI on our platform it looks like an agent. It just looks like a human agent. So we've got all these capabilities to manage it. In normal deployments of bots and why they're kind of tire-kicking them is you put them on a Web site or the maybe the backend of your messenger, front end like Facebook, and you don't have a lot of control over them. They run, and then you may get a report at the end of the day, and you're looking at and trying to figure out. In our system the bots actually, you look at them in real-time, and what our customers are doing is putting a live agent to manage the bots. And then the agent could step in if the bot fails, they go back into the AI engine, and we'll update the question and answers so that the bots become better. There are things with timing and tuning that we do on the platform. So our platform, we've booked up some capabilities that enable a lot more control over the bot. So you don't have to kick the tire. Most of the time when the kick the tires because there's no way to sort of really control it and better it on a day-by-day basis than how we provide on the LiveEngage platform. So that's kind of the interesting part.
Mark Schappel: Okay, thank you. That's all for me.
Rob LoCascio: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Mike Latimore from Northland Capital. Your line is open.
Mike Latimore: Hi, thanks a lot. Yes, a very nice quarter. On the sales force productivity, can you give us a general sense of that level, are we at 50%, 75%, 100% in terms of productivity for sales person?
Rob LoCascio: Yes, Mike, I won't give a specific number, but we're happy in the direction and the way things are going. One of the questions that came up earlier was about bookings, and as far as the expectations for the first half of the year we're happy with where we are. It gave us the opportunity to increase our value from the back half, not only bookings, but obviously successful migrating customers over to LiveEngage platform. So we're happy with were the productivity is and we're continuing to push the business and build out our pipeline. Again, there's a good opportunity in front of us as we move into '18.
Mike Latimore: And then the pipeline of potential bookings is the majority from current customers outstanding or new ones?
Rob LoCascio: No, from a mix of customers -- it's from a mix of existing and new customers. At these summits we have a combination of customer types, we have existing customers and new customers coming. And one of the best selling tools that they have been talked to each other, there are opportunities what they're going through, how to implement, and existing customers become some of our best recommended customers.
Mike Latimore: And then, obviously a lot of your customers migrated over LiveEngage, and the biggest percent still in spite of traditional chat I guess, do you see moving -- do you see moving customers, I mean, is the opportunity there to upsell messaging or do you see lot of customers just shifting volume from chat to messaging?
Rob LoCascio: No. It's an added amount of volume, because they were doing chat, it's always pretty much web. So we really expand like new capabilities to the amount of interactions that we possibly can take. What's great is that although the migration, as I said, I probably don't want to go through migration again in the company's history, but I can say that with certainty, but we're on the other side of that obviously. But now we got this new platform, it's got a lot of capabilities in it. We've got an install base that's using the chat capabilities and it's a focus group of leads. They haven't really shimmered us. They are all seeing messaging and AI and box, and that's something strategic, and we got them on this platform that looks like a flip of a switch that they can get it. So now it's just a question of educating them, getting them the opportunity, what's the entry point, is it SMS, is it Facebook, is it app, is it web, wherever that entry point is, it's sales and service, and so we just sort of keep working through that with each of these customers. And the base has a lot of capability to grow though, because we have some of the largest brands. And you're right, they're still on chat. We just took -- the interesting one is we had one of our large enterprise Five Financial Services company, they were on chat, chat web and for many years, three or four years, we migrated them a couple weeks ago; no chat anymore. They migrated a 100% to web messaging start asynchronous web and then we're growing in app and we're going around. But they didn't migrate to chat. They migrated straight to messaging. We shut all the chat down. So that's the real interesting things that we see.
Mike Latimore: Okay. And then just last, he I think the European broadband provider is basically just replacing voice with messaging, but I don't think you're doing the kind of the Tango there or whatever, you know, is most of your pipeline kind of migrating to inbox and live agents, or is more kind of the European broadband example?
Dan Murphy: Sometimes we start live to live, and then we look at what we can automate. So every deployment will have box and AI though. This is what's happening. So, even you know, this customer will be putting box in for different areas of interaction, so -- but yes, every one of them will have a mix of it, every one of them.
Mike Latimore: Great. Yes, thanks a lot.
Dan Murphy: Okay, thanks, Mike.
Operator: There are no further questions at this time. I'll turn the call back over to the presenter.
Dan Murphy: Thank you. And we will see you on the next quarter.
Rob LoCascio: Thanks, everyone.
Dan Murphy: Thanks, guys. Goodbye.
Operator: This concludes today's conference call. You may now disconnect.